Operator: Ladies and gentlemen, good morning. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the YPF Second Quarter 2023 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions] Thank you. And I will now turn the conference over to Pedro Kearney, YPF Planning and Finance Manager. You may begin.
Pedro Kearney: Good morning, ladies and gentlemen. This is Pedro Kearney, YPF Planning and Finance Manager. Thank you for joining us today in our second quarter 2023 earnings call. This presentation will be conducted by our CEO, Pablo Iuliano; and our CFO, Alejandro Lew. During the presentation, we will go through the main aspects and events that explain our second quarter results, and finally, we will open up for questions. Before we begin, I would like to draw your attention to our cautionary statement on Slide 2. Please take into consideration that our remarks today and answers to your questions may include forward-looking statements, which are subject to risks and uncertainties that could cause actual results to be materially different from expectations contemplated by these remarks. Our financial figures are stated in accordance with IFRS, but during the call, we might discuss some non-IFRS measures such as adjusted EBITDA. I will now turn the call to Pablo. Please go ahead.
Pablo Iuliano: Thank you, Pedro, and good morning to you all. Let me start highlighting that this was another quarter in which we continued delivering a solid operational performance. During the second quarter, total hydrocarbon production totaled 513,000 barrels of oil equivalent per day, remaining stable quarter-over-quarter and increasing 2% on year-over-year basis, mainly driven by a sound performance in our shale operations, which recorded an interannual expansion of 18%. I would also like to point out the positive evolution of our crude oil production, which continued growing, increasing by 1% sequentially and by 7% when compared to the same period of 2022. Adjusted EBITDA reached $1 billion in the quarter, decreasing 4% sequentially and 34% compared to the second quarter of 2022. The lower outcome compared to the previous quarter came especially on the back of a slight decline in domestic fuel prices in dollars terms and further cost pressures, mostly offset by higher seasonal natural gas sales. And our bottom line came in at $380 million in the second quarter, accumulating more than the $720 million during the first half of the year. In terms of our investment activities, we continue ramping up our CapEx plan, which expanded 6% sequentially and 52% on a year-over-year basis, accumulating nearly $2.7 billion during the first half of the year, being on track to fully deploy our ambitious plan for 2023. On the financial side, free cash flow totaled a negative $284 million primarily driven by the Maxus settlement agreement signed in April, taking our net debt to $6.312 billion and increasing the net leverage ratio to 1.4x. Excluding the impact of this agreement, the free cash flow would have been flat during the quarter. In this regard, let me point out that on August 2, following the satisfaction of all conditions and procedural steps, YPF proceeded with the payment of the settlement amount due under the trust settlement agreement as all relevant actions against the company, including state and federal, were finally dismissed. Beyond economic results, let me briefly comment that during the second quarter, we achieved an important milestone regarding our key strategic goal of accelerating the monetization of our crude oil resources. During May, the company resumed structural Medanito oil export after 18 years as the trans-Andean oil pipeline was successfully put back in operation, allowing the evacuation of crude oil to Chile. We also continued delivering in currency of results in terms of well construction efficiency within our shale operations during the quarter, averaging 260 meters per day in drilling and 194 stages per set per month on fracking, maintaining most of the efficiencies gained in previous quarters. More recently, in July, we continued setting new records on drilling and fracking performance, averaging 295 meters per day in drilling and over 235 stages per set per month on fracking. We strongly believe that maintaining our focus in the continuous improvement of our well construction operations in Vaca Muerta is key to maximize value generation for all our stakeholders. Going forward, outlook. The global and local environments are full of challenge in coming months. We will remain commitment to exploit the huge opportunities that we have ahead of us. In that sense, the cumulative results achieved in the first 6 months of year permit us to reaffirm our crude growth strategy while maintaining profitability and financially prudency at the forefront of our decisions. I now turn to Alejandro to go through some further details of our operating and financial results for the quarter.
Alejandro Lew: Thank you, Pablo. Let me begin by expanding on Pablo's comments about the evolution of our oil and gas production. During the quarter, our total hydrocarbon production averaged 513,000 barrels of oil equivalent per day, growing very modestly compared to the previous quarter and increasing by 2% year-over-year. Crude oil production recorded a new sequential increase of 1% during the quarter, representing the seventh consecutive quarter of oil production growth, coupled with a strong interannual expansion of 7%, which allows us to remain on track to meet our targets for the year. Beyond crude, natural gas and NGLs production remained stable on a sequential basis, staying at 37 million cubic meters per day and 43 barrels of oil per day, respectively. The positive interannual evolution in oil and gas production came as expected on the back of our total shale production, which continued delivering solid results, expanding by 18% on a year-over-year basis, with a remarkable increase of 28% in our shale oil production. On the conventional side, we managed to maintain our oil production stable versus the previous quarter mainly as a result of our continued focus on tertiary production, which increased 17% sequentially and 32% versus the same period of 2022. The positive evolution in tertiary production came primarily from solid results in Manantiales Behr, our flagship project, which represents more than 70% of our EOR production and the evolution of the pilots deployed at Chachahuen in Mendoza and El Trébol in Chubut. Moving to costs. Lifting averaged $16 per barrel of oil equivalent across our upstream operations, 10% above the previous quarter, primarily due to higher maintenance and pulling activity combined with an accelerated inflationary environment not fully compensated by the local currency depreciation. However, lifting costs for our shale oil core hub operations remained almost stable sequentially at a very competitive level of $4.1 per barrel. Regarding prices within the Upstream segment, crude oil realization prices averaged $63 per barrel in Q2, declining by 5% on a sequential basis. This decrease, however, was less pronounced than that of Brent, thus resulting in a compression of the spread versus export parity in the quarter. On the natural gas side, prices increased about 30% sequentially to an average of $3.9 per million BTU as a result of the seasonal adjustments within the Plan Gas contracts. Coming into our shale activity. During the quarter, we completed 41 new horizontal wells in our operated blocks, reaching a total of 79 completed horizontal shale wells during the first half of the year. We also continued increasing the rhythm of drilling activity to enlarge our inventory of DUC wells. In that sense, during the second quarter, we drilled a total of 46 new horizontal wells in our operated blocks, 20% more than the second quarter of last year, 37 of which were in oil-producing blocks and 9 targeting shale gas, aligned with our strategy of prioritizing the monetization of our shale oil opportunities. The new tie-ins during the quarter led our shale production into further expansion. On a sequential basis, our shale oil and gas production increased by 2%, averaging 95,000 barrels of oil per day and 17 million cubic meters per day, respectively, representing 45% of our total hydrocarbon production. And when compared to the previous year, shale oil production recorded a remarkable expansion of 28%, as mentioned before, while shale gas increased by 10%. Besides the continuous improvements achieved within our Vaca Muerta operations previously commented by Pablo, during the second quarter, we set new records on drilling speed for a well with slim design at Aguada del Chañar block, reaching 400 meters per day, as well as in the [ fab ] design well at Loma Campana, reaching 365 meters per day for a lateral length of over 4,000 meters. As a result, average development costs within our core hub oil operations remained stable versus the previous quarter at $9.8 per barrel of oil equivalent as improved efficiency and enlarged production permitted to compensate higher service tariffs. Regarding investment in facilities required to unlock our shale production, in May, we put in operations a natural gas separation and treatment facility at Rincón del Mangrullo, expanding its production capacity by 2 million cubic meters per day. Lastly, in line with our commitment to make our operations more sustainable, during Q2, we managed to test a pilot for switching one of the frac sets operating at Loma Campana to run 100% on natural gas, the first of its class in Argentina, aiming at reducing about 40% the CO2 equivalent emissions in comparison to a set run on diesel, thus, estimating a pro forma reduction of about 20,000 tons of CO2 equivalent per year. As in the previous quarter, let me now briefly comment on the progress achieved in the different initiatives aimed at unlocking the oil evacuation capacity of the Neuquina basin. Regarding the evacuation to the Pacific, the trans-Andean pipeline of the OTA/OTC system was successfully put back in operations in May after 15 years of inactivity, allowing us to resume structural Medanito oil exports. As a result, during Q2, we exported 550,000 barrels of oil. And going forward, export volumes shall increase in the second half of the year once the Vaca Muerta North pipeline is up and running, and despite the stoppage that took place for 17 days in July on the back of heavy rains and flooding in nearby areas. As it relates to the new Vaca Muerta North pipeline, in Q2, we continued moving forward with its construction, which is at the 75% completion stage, and is expected to start operations between September and October of this year. On that regard, let me point out that in May, we entered into agreements with 4 strategic partners that joined our project and have contributed to its financing, either through direct equity injections or through ship-or-pay prepaid contracts. Moving to the projects to expand the evacuation capacity to the Atlantic, Oldelval has been making steady progress, aiming at adding about 20,000 barrels per day of transportation capacity during Q3 of this year as the second stage within the Duplicar Plus project. In addition, OTE has continued moving forward with the construction of 2 new storage facilities of 50,000 cubic meters each as well as with the offshore terminal at Puerto Rosales. Lastly, regarding the Vaca Muerta South project. During the second quarter, we achieved about 90% completion stage in the engineering design process for the new pipeline and export terminal, also being well advanced on the environmental impact studies required for the project. Switching to our industrial and commercial segments. Domestic sales of gasoline and diesel remained strong during the quarter, increasing by 3% when compared to the previous quarter, driven by an expansion of 9% in dispatched diesel volumes mainly due to higher retail demand and seasonality in the agribusiness and power generation sectors, which was partially offset by a contraction of 6% in gasoline demand, driven by the higher summer seasonal sales in Q1. On a year-over-year comparison, diesel demand decreased by 2%, particularly in the agribusiness segment, while gasoline sales rose 5%. In terms of refinery utilization, we recorded another quarter with historical high processing levels, averaging 305,000 barrels per day, which was essentially flat compared to the previous quarter and 6% above a year ago. These high processing levels combined with maximum conversion levels led to the highest levels of 6-month production of gasoline and middle distillates for the last 16 years. As a result, total fuel imports decreased significantly during the quarter, representing only 6% of total fuel sold in the period. In terms of prices, during the quarter, we continued aiming at mitigating, to the largest possible extent, the effect of the depreciation of the currency while managing to reduce the spread versus international parities, which continued in a downward trend during the period. As a result, average fuel prices measured in dollars decreased by 5% sequentially and stood 8% below a year ago, whereas the gap between local fuel prices versus import parity declined to 13% during the quarter compared to 19% in the previous quarter and 37% in the second quarter of last year. Lastly, the downward trend in international oil prices observed during the period negatively affected the basket of refined products other than gasoline and diesel, resulting in a reduction of 9% vis-à-vis the previous quarter and 27% below a year ago. On the financial front, the second quarter resulted in another period delivering solid operating cash flow, totaling almost $1.3 billion. The difference versus the adjusted EBITDA for the period can be explained by positive working capital valuations, such as dividends collected from our subsidiaries and the monetization of a tax credit for income tax prepaid in 4Q 2022 that more than offset the cash deployed for the Maxus settlement agreement. The strong cash generation allowed us to almost fully fund our investment plan during the quarter. Moreover, excluding the extraordinary negative financial impact of the Maxus legal settlement, the operating cash flow would have covered not only our CapEx, but also interest payments and other cash expenses and would have resulted in a balanced free cash flow for the quarter. However, considering the full financial effect of the Maxus settlement, our net debt increased to $6.3 billion and the net leverage ratio, calculated as net debt over last 12 months adjusted EBITDA, increased to 1.4x. In terms of financing, during the second quarter, we continued progressing on our financial plan by securing several trade-related loans from relationship banks and tapping the local capital markets. In this sense, during June, we issued a 3-year hard-dollar denominated bond for a total amount of $263 million with a 5% coupon. All in all, during the first half of the year, we have raised about $1.3 billion, representing net new funding of over $700 million after deducting the debt amortizations paid during the period. And more recently, in August, we signed and disbursed a new cross-border A/B loan obtained from a group of financial institutions led by CAF for a total amount of $375 million. The new loan served as an early refinancing of the existing loan taken in early 2022, thus alleviating funding needs for the next year by $225 million and extending its average life by almost 3 years and also increasing the outstanding facility size by $150 million, showcasing once again YPF's ability to access cross-border funding. On the liquidity front, our cash and short-term investments increased to almost $1.5 billion by the end of June compared to $1.3 billion as of the end of March as we prefunded part of the financing needs for the second half of the year. And in terms of cash management, we have continued with an active asset management approach to minimize FX exposure, ending the quarter with a consolidated net FX exposure of 13% of total liquidity, down from 21% as of the end of the first quarter. With this, I conclude our presentation for today and open the call for your questions.
Operator: [Operator Instructions] We will take our first question from Anne Milne with Bank of America.
Anne Milne: Given the relatively flat production for the year, although you did have strong growth in shale, I was wondering if you could give us some, I don't know, guidance or some framework for looking at the additional infrastructure that you're putting in place right now that you did review and what we should expect for year-end? That's my first question. And then the second question is, what will you be watching in terms of the upcoming primary elections and then presidential elections in terms of policies that could affect YPF?
Alejandro Lew: Thank you for your questions. As per your first question, we briefly mentioned in the presentation that in line with the guidance provided earlier on in the year, we believe that the results so far are a good advance towards those estimates. So we would expect to continue focusing primarily in our growth in oil production. We continue to expect to be at around 8% growth year-over-year by the end of the year, which so far in the second quarter, we are -- we ended up 7% above the second quarter of the last year. And so we expect to -- we still expect to be at around 8% for the full year. And particularly, we expect oil growth to accelerate in the second half, primarily in the fourth quarter. Probably expect in the third quarter to be relatively flat and further growth to materialize in the fourth quarter, where we expect fourth quarter over the fourth quarter of last year to be -- to remain in line with guideline at about 10% growth. On the other side, on natural gas, given the lower demand that we saw in the first half of the year, we will probably see some lower growth, or actually, to be probably relatively flat on a full year basis compared to last year. That is, as I said, in terms of natural gas. So basically, the oil infrastructure that is being deployed will serve mostly the purpose of allowing for this expansion in crude oil production. While natural gas -- and as presented before earlier in the year, we are clearly prioritizing crude over gas. And hence, we are, again, not that much concerned about this lower growth in natural gas that we expect for the rest of the year. In terms of policy after the elections, I believe I mentioned in the past that we -- it's hard to predict, but we expect that given the strategic positioning that Vaca Muerta has, and has been commented by several different candidates in the presidential elections, we believe that our policy should remain supportive for the constructive development of our sector, which is a sector that, as mentioned before in several occasions, could provide a significant swing in the balance of payment through not only the substitution of gas imports but also through the further incremental oil exports. As well, the debottlenecking of Vaca Muerta and the different producers in the basin and in the Neuquina basin, continue with our growth plans. And as was presented by YPF, particularly in our view, to double up our oil production in 5 years' time. So given those -- given that opportunity, we would expect policy to remain supportive for our sector.
Operator: [Operator Instructions] And we will take our next question from Walter Chiarvesio with Santander.
Walter Chiarvesio: I have 2 questions on the cost front. The first one is related to SG&A that, at least for me, was negatively surprising. It has been taking a higher share of revenues in the last couple of quarters. And I would like to know from you if this is just salary increases or payroll because it has been increasing quite above inflation in the last couple of quarters. What is the outlook for rest of the year? If there is any actions that the company could take to reduce that and if you're going to do something about that? That is the first question. The second question is related to lifting costs. We can see that lifting costs in the core hub is relatively stable, which lead us to conclude that the conventional lifting cost is growing. Is that because of the tertiary recovery costs in Manantiales Behr? And if that is going to be a norm looking forward?
Alejandro Lew: Thanks for your questions. As it relates to the first question on SG&A, at least on the way I'm looking at the numbers, and we can definitely come back to that later on. But we see SG&A in the first -- in the second quarter growing sequentially at a similar pace that the average OpEx for the company. And definitely, that's a result of the general context of increasing costs, primarily inflation running above the devaluation of the currency, and that pushing our dollar costs higher. In general terms, in terms of head count, we have not experienced any particular swing. And so I would tend to say that, that's the result primarily of the general cost pressures in line with the rest of the OpEx. In terms of lifting, what I can comment is that, clearly, on the -- in the core hub, we managed to compensate the higher costs with the particular increase in shale production, particularly shale oil. That's compensated. That's clearly what allowed us to manage to compensate the higher costs with higher production, and hence, maintaining the lifting relatively stable at the core hub. Opposite to that, in the rest of upstream, not only conventional but also in shale gas blocks, we have seen an increase in per unit costs clearly related to, on the one hand, the incremental OpEx costs, nominal OpEx costs in dollar terms and then also in conventional, particularly in conventional gas, a reduction in total production. So all in all, what we can say is that as long as we continue to succeed in growing our total production base, we will definitely expect to stabilize, and at some point, manage to reduce overall lifting costs on an aggregate basis for as long as we also manage to get under control the different OpEx, particularly in the upstream segment. Of course, that's a challenge. But that's something that we are clearly focused on in obtaining and in reaching efficiencies in our cost basis to get our per unit costs stable, and ideally, to decline.
Walter Chiarvesio: Just a follow-up, would you expect an improvement in margins during the second half of the year or stable?
Alejandro Lew: Well, margins are based on different variables, right? So clearly, we continue to see further cost pressures on the cost side. And as I said, we are working across all our business units to get efficiencies, to get costs under control. And hence, we would expect at least to maintain -- for the most part, OpEx -- we are working to maintain OpEx at least stable in the second half. In terms of revenues, well, that will depend on different variables, right? Clearly, the way we manage to work on our pricing policy and also how the evolution of the currency takes place in coming months.
Operator: [Operator Instructions] And we will take our next question from Luiz Carvalho with UBS.
Luiz Carvalho: I have basically 3 points that I would like to hear and get a bit more color. The first one is the lifting costs trend. We saw lifting costs close to, I don't know, $13 per -- I don't know, per BOE last year. And now we are headed to close to $16 when you're seeing some, I don't know, industry, mainly on the service industry, cost pressure. So I would like to hear in terms of what are the perspectives on the lifting costs? The second thing is about the funding. I mean the company burned a bit of cash this quarter, and very comprehensive. But when we look to the projects and mainly on the logistics front, I would like to, I don't know, have a bit more visibility how your -- the company is thinking about the funding, mainly that by 2024, you have, I don't know, almost $1.2 billion of that. We understand that it can be postponed, can be negotiated, but just trying to understand, let's say, the probably 18 months funding strategy. And lastly, if I may, on the pricing front, the company did a great job over the past year reducing the gap between the domestic prices and import parity, right? It came from, I don't know, 40%, 30% last year to an average of, I don't know, as you pointed in the slide, 13%, right, this year over the last 3 months. So just trying to understand how we should look this forward, maybe with the current, I don't know, FX and the current oil environment. So how we can -- how can you guys -- what are you seeing in terms of price parity scenario for the next couple of quarters?
Alejandro Lew: Thank you very much for your questions. Let me start with the last one in terms of what to expect in terms of pricing. As you have said, we managed to reduce the gap to international parities over the last 12 months, reaching a low level of 13% gap in the second quarter, down from 19% in the first quarter and from over 30% in the second quarter of last year. Clearly, that was a combination of our strategy to increase prices in peso terms to at least compensate for the evolution of the currency, which in the beginning of the year, we only managed to do it partially successfully as our prices declined by about 8% by the second quarter compared to the fourth quarter of last year. But clearly, given the downward trend in international prices, that helped alleviating and reducing the gap between local prices and international prices. Since the end of the second quarter, given the recent rally in international prices both in crude and in spreads, we have seen the gap increasing once again, on the one hand, given that we have continued moving forward with increases of the pump that have not fully managed to pass through the evolution of the currency. And hence, by today, we are standing about 10% below the dollar prices of the end of last year. And then further to that, given the rally in international prices, our gap today stands probably closer to 30% to international parities. So that will be the negative news. Now what we expect for the rest of the year, we would continue to look for adjustments of the pump, trying to mitigate the evolution of the FX, and to the largest possible extent, to looking at reducing the gap to international parities. However, we are cognizant of the realities of the macro environment, of the inflationary level. And as we've been saying for several months now, we will do the best that we can, but maintaining in mind the realities of our client base and the affordability of our products. So it's hard to predict, mostly due to the volatility in international prices, how the gap to international prices will continue to evolve, although we continue to look for reducing that gap to the lowest possible level. In terms of -- going to your second question, in terms of funding, as was mentioned in the presentation, we managed so far in this first half of the year to raise about $1.3 billion. Further to that, we have raised on a net basis, given the prefunding or the early refinancing of the CAF-led loan, which provided for about $150 million in net funding. We have added another -- over $200 million, roughly $250 million since the end of the second quarter. And so with that, we expect, I would say, 2/3 of the funding program for this year to have already been secured. And further to that, given the early refinancing of the CAF loan, we managed to reduce total amortizations for next year by about $225 million. So roughly speaking, the maturity profile for next year comes down from the $1.2 billion to about $1 billion. So we -- in terms of tackling our needs for the next 12 to 18 months, we will continue prioritizing the local market, which we believe that provides an interesting arbitrage for funding costs. And of course, we will remain vigilant on the opportunities that the international market could provide to expand the funding sources to fully secure the funding needs that we have for the next 18 months. So I would say that we have been tapping on relationship banks. We believe that there is some further room there, although more limited, and we do believe that still the local market can provide significant further opportunities. And beyond that, as mentioned, we will remain vigilant on opportunities in the international market. Finally, on your first question about the lifting costs trend, and similar to what I responded to Walter, we've clearly seen an increase given the cost pressures related to the general inflationary trend that runs above the devaluation of the currency. And again, as we expect our crude production to grow significantly in coming months, particularly in the fourth quarter, we would expect to compensate any further cost pressures, although we will work towards stabilizing our nominal costs. But if anything, any further cost pressures, we would expect to compensate that through higher production levels, and thus, we would expect for the second half lifting costs to remain relatively stable.
Operator: And ladies and gentlemen, there are no further questions at this time. So I will now turn the call back to Mr. Alejandro Lew for closing remarks.
Alejandro Lew: Well, thank you very much, everyone, for joining the call today, and have a great day.
Operator: Ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.